Operator: Good morning, ladies and gentlemen, and welcome to the NorthWest Healthcare Properties REIT Trust Fourth Quarter 2020 Results Conference Call . This call is being recorded on Friday, March 12, 2021. I would now like to turn the conference over to Paul Dalla Lana. Please go ahead.
Paul Lana: Thank you, operator, and good morning, everyone. I appreciate you joining us today. I'm joined today by Shailen Chande, the REIT's Chief Financial Officer; and Peter Riggin, the REIT's Chief Operating Officer. Together, we are pleased to share with you our results for the fourth quarter of 2020. But first, I'd like to point out that during today's call we may make forward-looking statements as defined under Canadian securities law. While such forward-looking statements reflect management's expectations regarding our business plans and future results, they are necessarily based on assumptions that are subject to uncertainties and risks, which could cause actual results to differ materially. We direct all of you to the risk factors outlined in our public filings.
Operator:  First question comes from Fred Blondeau at  Capital.
Fred Blondeau: Just a quick question from me in regards to Rede D'Or. It looks like they might grow quite a bit over the next 12, 24 months. Your focus this year is on the UK JV, but could you be tempted to focus a bit more on JV-ing Brazil earlier, or that would still be a 2022 focus?
Paul Lana: I think it is a focus of ours. I think let's just say late '21, early '22, we could see those initiatives coming together. And I think the environment there is very constructive for that right now, both in terms of following Rede D'Or but also in terms of seeing other health care operator consolidation and counterparty development for NorthWest. So we remain constructive in Brazil. And I think that would be just slightly behind these other initiatives that I would do.
Fred Blondeau: And how should we be viewing your growth in Brazil in parallel to what Rede D'Or is trying to do here, at least for the next 12, 24 months?
Paul Lana: Well, I think, I mean, again, the comments I would say is that Rede D'Or is an exceptional business, really one of the best health care operators that we've seen globally, frankly. And they have quite a unique business opportunity in that the market and Brazil, continues to be highly fragmented and obviously, has attractive fundamentals. So I think that strategy, we're a supporter of that strategy of continued consolidation and growth. And we see that happening not only with Rede D'Or, but also with other potential counterparties. I think the challenge for us with Rede D'Or, of course, is a lot of capital and their need for as many of the sales lease back type transactions that we've done with them historically is probably a little bit diminished, but our appetite is very strong to continue growing. But we are seeing similar opportunities, so I feel like we'll be able to find a fair number of high quality situations in Brazil.
Operator:  Next question comes from , a shareholder.
Unidentified Analyst: I'm looking at your earnings announcement here, for the third -- or the December quarter, what was the AFFO per share versus last year? I don't see it in here. I see the gross, but not the per share figure.
Shailen Chande: Yes. Can you give me two minutes? I'll just go at a specific per quarter figure, given it was an annual result, we disclosed per share. Our per share numbers were focused on our annual results. And year-over-year, that was at $0.85 per unit in 2020 versus $0.84 per unit in 2019, representing 1% per unit increase in AFFO per unit in Canadian dollars. We'd also called out that we -- excluding the impact of foreign exchange, that equated to roughly 5% increase year-over-year in AFFO per unit. I will -- feel free to shoot me an e-mail, and I'm happy to get into a specific quarterly number with you.
Unidentified Analyst: Yes. I guess I was like to compare quarter-over-quarter. I saw the yearly figure, but I didn't see how you did in last quarter versus a year ago.
Shailen Chande: Yes. I'll take a couple of minutes to pull out that number, so perhaps you can go offline.
Operator: Thank you . There are no further questions at this time.I do apologize. We just have a question that just popped in from Tal Woolley at National Bank.
Tal Woolley: Just on the Australian Unity investment, and I apologize if you addressed this earlier in your comments. But is that private REIT like officially under a strategic review right now, because you sort of mentioned in your presentation that potentially a generational opportunity for you. I'm just wondering what the time line kind of is on that investment and how we should think about it evolving?
Paul Lana: There's lots in that, Tal. So I think as always, it's a little bit difficult to talk about these sorts of situations. But as has been in the press, we can confirm that we've made an unbinding offer to the trust and they're in the process, I think, of considering what to do next, whether that constitutes a strategic review or not, I'm not sure. But clearly, that's the nature of our current engagement and we'll maybe just leave commentary beyond that to the press at this point. But I think we're certainly very focused on our next steps…
Tal Woolley: And just Shailen, in the same-property NOI dialog in the MD&A, I'm just looking at the sort of like the currency adjusted or non-currency adjusted. And you have a statement there saying that basically same property NOI for the quarter decreased by 19.3% in euros but increased by 26.8% in Canadian dollars. And that does not jive to me with like that's a huge swing with respect to like the currency not having moved anywhere close to that amount? Like is there -- I'm just wondering if there's something else in there that I'm missing.
Shailen Chande: Yes, when we disclosed our constant currency same property NOI, there's a nuance there that it references a recurring constant currency same property NOI numbers, so that also adjusts for any nonrecurring items over the course of the quarter. So that swing, you're right. It doesn't represent only foreign exchange movement. It also includes the elimination of nonrecurring items. And I would call out that in Q4 annually, within our European portfolio and specific to our German medical office building portfolio, we tend to go through a variety of accrual adjustments in respect of our tenant recovery. So the Q4 traditionally has been a little bit volatile. I'm happy to go a little bit more detail with you on that specific catch-up, but we do have a breakout on a global basis what those nonrecurring adjustments are when we bridge from reported SPNOI to cash recurring SPNOI.
Tal Woolley: And then just going to your supplementary schedules, too. So if I'm doing my math right, proportionate debt to EBITDA based on your ownership all the various entities, that's running around 10.5 times trailing EBITDA. Does that number jive with sort of your calculations?
Shailen Chande: Prior to our equity offering, correct. And I would also take you to our -- and I think the specific number is just 10.06 net debt to EBITDA proportionately as of Q4.
Tal Woolley: And then I know like -- because there's been a bunch of transactions that you guys have been working on over the last two years, but there was some sort of chatter, I think, sort of late '19, early 2020 about possibly looking to use the Canadian unsecured market and trying to open up that channel of funding. Where does the company sort of sit on that right now?
Shailen Chande: Yes, I would say on the heels of our recent equity financing, coupled with our planned UK JV and the natural conversion of our convertible debentures, our pro forma leverage profile will very much put us into, I'd say, investment grade metrics where we'd see our pro forma net debt come into sub 8 times, and we do have a more formal bridge or reconciliation to that target. So we see our investment grade metrics as being a catalyst to both support what we believe is a reasonable equity valuation for our units as we achieve those metrics. And then as it pertains to accessing unsecured capital, I think it really brings an additional tool into the toolkit to pursue some of the REIT's growth initiatives. We do call out that a lot of our capital structure is focused on very efficient asset level finance within our JV structures where we have the benefit of the covenant of our capital partners. So there's some tension in the discussion as to whether we consider using Canadian unsecured finance versus extremely efficient capital partner covenants asset level finance. But I think the real target right now is to get our metrics and our credit metrics into those investment grade parameters and then really start to bring that tool into the toolkit and to explore where we can best take advantage of it.
Tal Woolley: But that feels like something you could get to probably in 2021, if everything kind of hits right?
Shailen Chande: I think that's very much our target. And as we look through our UK JV profile that Paul mentioned in terms of completion in 2021, that's the real catalyst to put us squarely into metrics.
Tal Woolley: And then, Paul, maybe you can just give a little bit more back story on why now like to consider the US and sort of how you've been thinking about that market over the last several years, and why you're now is the time to maybe consider pushing in there?
Paul Lana: I think just starting with the obvious that we know the business has matured and in scale and capabilities to be able to look seriously at the US. It's the largest health care market and by extension health care real estate market in the world. So it's certainly an obvious one. So I think those are the two big things. But I think we also see just in the moment, particularly sort of the COVID emerging moment just some, let's say, screening a little bit more opportunistically for us to participate. And so those three things taken together I think kind of get us to a place where we can look at it. Obviously, we've consistently looked at the US market since we started the business for reference points and just understanding the functioning of the health care industry. As I said, it's a very dynamic market. So I think we've been trying to understand it for a long time. And now based on that, we started to develop our strategy and focus on a number of segments in the market that we think are attractive, given our cost of capital and given our management expertise. So I think there's a lot of things coming together, but we see it very clearly as a super logical market to be in and one where, as you followed NorthWest, we'd like to have a position that's at least in its subsegment, scalable and meaningful position where we can have impact in the market. And I think we've been quite focused on finding areas where we believe that to be the case despite the size of the market and the breadth of established competitors, if you will. We've been able to identify narrowly some really specific and attractive places to focus on. So that's where we've gotten to. And I think it's a big step, so we'll be evaluating it very carefully over the next little while, but the market dynamics have screened more positive than ever for us over the last little bit. So that's the message today.
Tal Woolley: And is there like -- you sort of talk about the care versus care assets, like what are the types of assets that you'd probably be considering looking at?
Paul Lana: Yes. Well, just to …
Tal Woolley: So I'm just trying to get a flavor if the type of asset you're looking for changes a little bit because of…
Paul Lana: No, we have some very core beliefs in our business and starting with focusing in the care side of the space, so where we looked at exclusively in care. And then I think as you've heard from the balance of our strategies, both in Europe and in Australia where the markets are a little more vibrant, we have a strong precinct or campus academic medical center sort of focus, if you want to think of it that way. So there's some pretty logical directional opportunities there. Of course, we have our historical MOB business where we have the management expertise and technology to deliver sort of multi tenant solutions. And so all of those things start to come together as we look at the US or any market for that matter. So I think that, just to be clear, are very much focused in beta focus on the pure side of the space. And our existing strategies in every market sort of inform the things that we like and where we're likely to have focus in the US.
Tal Woolley: And is it fair for us to think that sort of like that as you've broken into new markets previously, like it'll probably look similar in terms of the way where you make some principal investments on your own and then find a capital partner to help accelerate that growth later on? And are you guys getting to the point now where you have enough of a rep maybe where you don't maybe have to go through that principal phase, like you might be able to set up a JV at the outset of entering a new market?
Paul Lana: I think we are at that stage, Tal. I think that the trick in all these things is that when you have a dynamic market where there are active transactions, does it perfectly line up to start. So I'm not sure I can definitively give you that answer today, but I would say that it's high on our minds to start if possible. And certainly, what we see in the US is meaningful enough and definable enough, I guess that we could achieve that outcome that you mentioned. But I think we always, again, have a long view, of course, of just practicing what we preach, I guess and doing things. And I would say that between those two is where we'll end up likely. So we'll see. But I think where we are in the business in terms of positioning ourselves with capital partners and discussions in those capital partners at, I mean, I'm sure it has come up quite clearly in our 2020 results. And clearly, in our focus, we're as advanced as we've ever been in this broader range people as we've ever seen. And I think to the asset class and certainly health care, real estate is in a moment where it's getting a lot of focus. And we think that we're certainly a partner of choice for many institutional investors. And so all that taken together gives us a lot of confidence not just as we think about the US market entry, but in all the things we might do, it's a very good moment for our business, and we're quite focused on leveraging our corporate resources and IP and relationships to maximize that. So that's kind of the moment. So I think a lot of things are lining up and they perfectly line up in the transaction. It's always hard to say as to that, but I hope so.
Operator: At this time, we have no further questions. You may proceed.
Paul Lana: Okay. Thank you, operator, and everyone on the call, appreciate your time, and we'll sign off now from the management team of NorthWest Healthcare Properties REIT. Have a nice day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.